Operator: Good morning. My name is Kayte and I will be your conference operator today. At this time I would like to welcome everyone to the RenaissanceRe Fourth Quarter and Year End 2024 Earnings Conference Call and Webcast. After the prepared remarks, we will open the floor for questions. Instructions will be given at that time. [Operator Instructions] Thank you. I would now like to turn the call over to Keith McCue, Senior Vice President of Finance and Investor Relations. Please go ahead.
Keith McCue: Thank you, Kayte. Good morning and welcome to RenaissanceRe’s fourth quarter and year end 2024 earnings conference call. Joining me today to discuss our results are Kevin O’Donnell, President and Chief Executive Officer; Bob Qutub, Executive Vice President and Chief Financial Officer; and David Marra, Executive Vice President and Group Chief Underwriting Officer. First, some housekeeping matters. Our discussion today will include forward-looking statements including new and updated expectations for our business and results of operations. It’s important to note that actual results may differ materially from the expectations shared today. Additional information regarding the factors shaping these outcomes can be found in our SEC filings and in our earnings release. During today’s call we will also present non-GAAP financial measures. Reconciliations to GAAP metrics and other information concerning non-GAAP measures may be found in our earnings release and financial supplement, which are available on our website at renre.com. And now I’d like to turn the call over to Kevin. Kevin?
Kevin O’Donnell: Thanks Keith. Good morning everyone and thank you for joining today’s call. I want to begin today by extending our sympathies to everyone impacted by the California wildfires. At the end of my comments I will provide some perspectives on the impact of the wildfires and our role in ameliorating the significant damage that they have caused to the Los Angeles community. Moving now to our full year 2024 financial results. We had a strong year across our most important performance metrics. Our primary metrics, tangible book value plus accumulated dividends grew by 26%, operating income exceeded $2.2 billion and operating income per share was a penny shy of $43 per share. Breaking this down by our three drivers of profit. In underwriting, we delivered $1.6 billion in income and an 81.5% adjusted combined ratio. This was in a year with over $140 billion of industry catastrophe losses as well as persistent casualty trend. In investments retrained investment income exceeded $1.1 billion and in capital partners fee income was $327 million, which demonstrates our leadership in third-party capital management. An additional accomplishment of the year was our active capital management, including repurchasing $460 million of our shares during the fourth quarter. Repurchases continued in 2025. All in since we began the second quarter of 2024 we have purchased a little over $800 million of our shares at an average share price of $250 per share. Bob will speak to you in greater depth regarding our results for the quarter and the year, but overall I am proud of our performance. Moving now to address our strategic results in 2024. Our achievements were as equally impressive as our financial returns, of course, Validus was the most prominent. From start to finish, our execution was outstanding. We retained substantially all the Validus underwriting portfolio. We fully integrated the Validus team and entities into our operations. We generated significant capital efficiencies as a result of the combined platform and our partnership with AIG continues to flourish. In summary, the transaction has met or exceeded our expectations across multiple measures, accelerated our strategy, and allowed us to become one of the largest reinsurers in the world during one of the best markets in my career. Shifting now I’d like to briefly comment on the performance of our Casualty and Specialty segment. For the year we reported an adjusted combined ratio of 98%, which is up from 94% a year ago. There are a few drivers of this increase, including the Baltimore Bridge collapse earlier in the year and a few one off losses. The largest driver, however, is the elevated loss trend in general liability lines. We have done a good job keeping up with this trend and strengthening prior year general liability reserves. As a result, we remain comfortable with our Casualty-Specialty reserves. I should note that our Casualty and Specialty segment has had favorable development for both the quarter and the year. This is one of the benefits of a diversified portfolio at any given time some lines are under – some lines are performing well and others are underperforming. General liability falls into the category of an underperforming line right now. As we discussed last quarter, we closely engaged with customers in the second half 2024 and shared our observations regarding rate and trend. I believe that the industry is improving its underwriting and claims management. In addition, underlying rate increases have accelerated to an extent that they exceeded our forecast and overall I believe progress has been encouraging. That said at January 1 we continued our proactive management of our general liability book. We have reduced on programs where we saw greater exposure to loss trends. We expect the overall impact of these changes to our earned premium will be relatively small. They will be spread over the next several years and will be offset in part by increased rate. I want to briefly touch on the January 1st renewals and our outlook for 2025. David will address the renewals in greater depth, but they proceeded as expected. Property cat rates were down high single digits. We found some opportunities to grow which should keep top-line premium for property cat about flat. It’s important to keep in mind that with the step change over the past few years, rates in property cat remain attractive and our reinsurance portfolio is still one of our best. Finally, before I hand over the call to Bob, I wanted to address the California wildfires. The level of destruction in the affected areas is truly catastrophic. An important component of our purpose is protecting communities. By rapidly paying our claims, we hope to reduce the impact of this strategic event of the many people who have lost homes or otherwise have had their lives disrupted. David will provide more detail about the wildfires in his remarks. However, I would like to provide a few key observations. First, this is a tail event for the wildfire peril, both in terms of absolute dollar loss, but especially with respect to return period. While our models performed well in our assessment of return period, a loss of this magnitude implies that both our models, as well as the vendor models will need to steepen the curve in the tail to better reflect the higher frequency of severe events. Second, natural catastrophe losses are becoming larger and more frequent. Of course, climate change is one driver of this. It is equally true, however, that human behavior is also contributing to growing losses. For example, dense building with combustible materials in wildlife urban interface was a major contributor to the California wildfire loss, as was land management practices. We currently estimate that our pretax negative impact will be approximately 1.5% of the California wildfires aggregate insured loss. So we would expect a pre-tax net negative impact of $750 million based on a market loss of $50 billion. This market estimate is preliminary. And due to the recency of the wildfires, subject to meaningful uncertainty, that could cause material variation. There are numerous factors contributing to the size of the market loss, including the relatively high values of the properties located in the impacted areas, including a large component of fine art and other scheduled coverages; the influence elevated demand search is likely to have on replacement cost values; the level of additional living expense exasperated by competition for temporary housing of a similar character to damaged properties; the prevalence of smoke damage across a broad geographic area; assessments for the California fair plan offset by potential future recruitment and finally, the potential for subrogation recoveries from the California Wildfire Fund. These factors can cause the estimated $50 billion insured market loss to shift up or down. As the market loss develops, our negative impact should vary accordingly. We sensitivity tested our potential exposure at different industry loss levels and our net negative impact remains around 1.5%. The industry losses we expect from the California wildfires are at a scale, we would expect them to affect supply and demand for reinsurance. The first quarter of 2025 will be the third consecutive quarter of elevated catastrophe losses. Most of our U.S. property catastrophe programs are loss impacted. This will create increased demand for our products. We have the capital and we have the appetite to continue providing the protection that our clients and states like California clearly need. In order to do so, however, property catastrophe rates need to remain firm or even increase. Two years ago, the reinsurance market underwent a step change in pricing and terms and conditions. At the time, I explained that this was to the benefit of the industry as adequate rates would allow us to continue providing protection to our customers at the appropriate level, which is balance sheet protection. The California wild loss is a good example of the value of our approach to the step change. The magnitude of loss we anticipate paying is consistent with the tail nature of this event, and we were paid appropriately to protect against this risk. Since the step change, there has been much discussion regarding the relevance of reinsurance. I believe that the California wildfires once again demonstrate the continue, if not growing, value of the protection we provide our customers. That concludes my initial comments. I’ll turn it over to Bob now to discuss our financial performance for the quarter before Dave provides a more detailed update on the renewal in our segments.
Bob Qutub: Thanks, Kevin. And good morning, everyone. Building on Kevin’s opening remarks, we had a strong year with operating income of $2.2 billion, which is the highest in our history and an operating return on average common equity of 23.5%. We grew tangible book value per share plus change in accumulated dividends by 26% from the prior year. 2024 was not a low cat year. In fact, industry losses exceeded $140 billion. Against this backdrop, our diversified, underwriting portfolio was resilient and provided superior returns. In addition, we’re able to achieve our strong operating results because all three drivers of profit outperformed. Fees and net investment income contributed more than half of our total operating income for the year. These drivers of profit tend to be relatively stable, positioning us well for 2025. I plan to spend most of my time today discussing our annual results and outlook, but I would like to start with a few comments on the fourth quarter. The fourth quarter was a solid end to the year. And we delivered operating income of $407 million and annualized operating return on average common equity of 16%. To put this in perspective, we achieved these results on a common equity base that has more than doubled over two years to $9.8 billion. As a result of mark-to-market losses in our investment portfolio, we reported a net loss of $199 million or an annualized return on average common equity of negative 8% for the quarter. Across three drivers of profit, our underwriting income was $208 million with an adjusted combined ratio of 89%. Fee income was $77 million, up 9% and investment income was $429 million, with retained net investment income of $295 million, up 15%. There are a few specific items to highlight related to these results. First, we reported a property segment adjusted combined ratio of 69% in the fourth quarter. This reflected a 49 percentage point impact from large events, including 42 percentage points from Hurricane Milton. As a reminder, Hurricane Milton is a fourth quarter event, and we reported a $270 million net negative impact in our overall results. In addition, the Property segment was positively impacted by 37 points of favorable development. Second, we reported an adjusted combined ratio of 101% in our Casualty and Specialty business. This was driven by elevated casualty loss ratios and some specific loss activity in the quarter. We expect some volatility in this business from time to time and continue to expect an adjusted combined ratio in the mid to upper 90s on average. Third, from an investment perspective, treasury yields moved higher in the quarter, leading to $552 million in retained mark-to-market losses. This drove up our retained yield to maturity to 5.3% from 4.9% last quarter and should help maintain net investment income at similar levels in 2025. Given our relatively low duration portfolio, we can benefit quickly from these higher yields. And finally, moving now to capital management. As we mentioned in the last call, we freed up significant capital and liquidity last year as we brought the Validus business onto our platform. In the fourth quarter, we returned some of this excess capital to shareholders, repurchasing shares worth $462 million. In January, we purchased additional shares worth $138 million. So in short, we’ve repurchased $600 million since the last time we talked to you. And since we began buying back our shares in 2024, we have repurchased shares worth $815 million at an average price of $250 per share. We remain consistent in our approach to managing our excess capital. First, we plan to deploy it into desirable underwriting opportunities; and second, return the excess to our shareholders. Even after the California wildfires, our capital and liquidity position is strong and provides us with significant flexibility and opportunity. As Kevin mentioned, we believe that demand for reinsurance will increase in 2025. We anticipate being able to underwrite this demand while also repurchasing shares at attractive valuations. Turning now to our results for the year. As Kevin discussed, we delivered on the financial promises from the Validus acquisition in 2024. Underwriting income was $1.6 billion, flat from the prior year, although with a higher level of catastrophic losses. Fees were $327 million, up 38% and investment income was $1.6 billion with retained net investment income of $1.1 billion, up 37%. Moving now to a discussion on the 2024 results, starting with underwriting, where we grew gross premiums written by 32% to $11.7 billion, driven by our successful integration of Validus. Growth was the greatest in property catastrophe and specialty lines where risk-adjusted returns have been the strongest, and we were able to capture some incremental opportunities. These portfolios now make up almost 50% of our gross book. Net premiums written for the year were $10 billion, up 33%, and our combined ratio for the year was 84% and the adjusted combined ratio was 81.5%. Property reported a 55% adjusted combined ratio and Casualty reported a 98% adjusted combined ratio. Shifting now to our Property segment and starting with property catastrophe where the 2024 gross premiums written were up 40% and net premiums written were up 30%. We delivered excellent results in property catastrophe with an adjusted combined ratio of 32.5%. This reflected a current accident year loss ratio of 39% and 28 points of favorable development from prior year events. Our property catastrophe current year results included a 29 percentage point impact from large loss events in a year with the most impactful being hurricanes Helene and Milton. Moving now to other property where gross premiums written were up 29% and net premiums written were up 28%. Net premiums earned were $1.5 billion, up 12%. In the first quarter, we expect net premiums earned of approximately $375 million. For the year, the adjusted combined ratio for other property was 88%. This reflected a current accident year loss ratio of 69% and 11 percentage points of favorable development. The current year results include a 17 percentage point impact from large loss events in the year with the most significant being Hurricane Milton. Next quarter, we continue to expect an attritional loss ratio in the low 50s. Turning now to our Casualty and Specialty segment, where gross and net premiums written were up 30% and 36%, respectively. In 2024, net premiums earned were $6.2 billion, up 43%. In the first quarter, we expect Casualty and Specialty net premiums earned of about $1.5 billion. Our Casualty and Specialty adjusted combined ratio was 98% in 2024. The current accident year loss ratio ticked up through the year as we prudently increased our initial loss ratios to reflect trend in general liability. Going forward, we expect a Casualty and Specialty adjusted combined ratio in the mid to upper 90s. Moving now to our second driver of profit, fee income generated by our capital partner business where fees for the year were $327 million, up 38% with strong growth in both management and performance fees. Management fees were $219 million, up 24%, largely because of growth in our third-party vehicles, DaVinci and Fontana. 2024 also included some fee recapture from prior years that were impacted by catastrophic events. We generally expect a run rate of around $50 million in management fees per quarter. This first quarter will be less than this at around $45 million as a result of the California wildfires, but we will recapture the difference over time. Performance fees in 2024 were $107 million, up 78% due to strong performance across our capital partners vehicles. Performance fees dipped slightly in the fourth quarter compared to Q3, due to losses from Hurricane Milton, but were partially offset by favorable development. Looking ahead to next quarter, we expect performance fees to be down significantly given the impact of the wildfires. Moving now to our third driver of profit, where investments – our average investment – our average retained investment assets grew over the year by $5 billion to $23 billion, retained net investment income was $1.1 billion, up 37% this year. There was significant volatility in treasury yields from quarter-to-quarter, but overall, our mark-to-market was about flat for the year. Similarly, our retained yield to maturity stayed relatively flat compared to December 2023 at 5.3%. We have increased in duration, however, over the year from 3.2 years to 3.4 years. Retained net investment income has increased every quarter this year, starting at $267 million in the first quarter ending at $295 million in the fourth quarter. Yields have held up well, and we expect our investment portfolio to continue providing a relatively consistent level of income in 2025. Next quarter, we anticipate that the retained net investment income will be about flat to the fourth quarter. Next, moving to expenses where our operating expense ratio was 4.9% for the year, which was flat compared to 2023. The fourth quarter was higher than this with an average of 6.2% driven by performance-related compensation expenses and increased headcount. At 2025, we expect to hold operating expense ratio relatively flat to the 2024 average. Corporate expenses were relatively flat year-over-year at $135 million, $62 million of this relates to transaction-related expenses from Validus, which are excluded from operating income. These transaction-related expenses have been tapering off. In the fourth quarter, corporate expenses were up $34 million, with $16 million related to transaction expenses. We are not expecting significant transaction-related expenses in 2025. Finally, an update on tax. As we have previously discussed, the Bermuda government has implemented a 15% corporate income tax starting in 2025 in response to the OECD global minimum tax. We will begin accruing for this tax on our own Bermuda balance sheet in the first quarter of 2025. As a reminder, we are carrying a deferred tax asset related to the economic transaction transition adjustment provided for in Bermuda legislation. This is currently valued at $670 million. In January 2025, the OECD released an additional guidance related to the minimum tax rules. This guidance would need to be adopted and implemented by member countries before it takes effect. Further, a recent United States executive order has introduced additional uncertainty to the global minimum tax regime. Mostly monitoring any potential impacts from these new developments, however, we will be accruing a tax expense or benefit on our Bermuda balance sheet in 2025, and we’ll also be able to benefit from the DTA in the near-term. And finally, in conclusion, we delivered solid results for the fourth quarter, capping off an excellent year with strong contributions from all three drivers of profit. We believe that the momentum across our three drivers will persist with income from our attractive diversified underwriting portfolio and persistent and investment fee income – persistent fee and net investment income. Our strong capital position should enable us to capture emerging underwriting opportunities while at the same time, repurchasing shares at attractive valuations. In summary, we are in an excellent position to continue generating value for our shareholders. And with that, I’ll turn the call over now to David.
David Marra: Thanks, Bob, and good morning, everyone. Our thoughts are with all those affected by the wildfires in Los Angeles this month. Our team is paying claims quickly and helping clients understand and manage through this catastrophe so that people can begin to rebuild their lives. California wildfires have impacted entire communities. They are the costliest in history as well as a likely top five insured loss for natural perils. We have the strength in capital and liquidity to absorb our portion of this loss and are prepared to deploy additional capacity to support our customers as the market reacts to these catastrophes. Looking forward, we expect an improving market for property catastrophe reinsurance, with upward pressure on rates and new opportunities to deploy capacity to support our customers. As Kevin mentioned, we have now seen three large catastrophes in the last three quarters, 75% of our U.S. property catastrophe accounts renew over the next six months and most are loss impacted. We were already expecting about $10 billion in new demand coming to the market this year. We now expect this demand to increase as companies’ review their reinsurance needs and likely purchase backup covers for the remainder of the year. Kevin spoke about our estimate of a $50 billion aggregate industry loss for the California wildfires. We expect the reinsurance portion of this to come from a few different areas. First, wildfire is typically a covered peril and catastrophe excess of loss towers. The California wildfires will exceed retentions for many nationwide players and could exhaust the towers of some California insurers. Should that happen, some treaty language may allow insurers to treat the fires as two separate events. However, were they to do so, they would need to take two retentions. Second, many reinsurance treaties cover assessments related to the California fair plant, the state run insurer of last resort. Third, some large losses, both from high-value homes and commercial properties will be ceded to the reinsurance market through quota share and per risk treaties. This will impact our other property book. And finally, there could be losses to the cat fee market through third-party liability or losses to the specialty market from collectibles and fine arts. As with every large event, our underwriting and risk sciences teams are working closely together to update our catastrophe models to reflect what we have learned. At the upcoming renewals, we will be ready to deploy capacity, but only if prices are commensurate with the additional risk we will assume. Now moving to a discussion of our 2024 underwriting performance and January 1 renewals. As Kevin and Bob explained, we had an outstanding year, which culminated in the successful January 1 renewal. I’m proud of what our team accomplished and I’m excited about the opportunities ahead of us as we begin 2025. We aim to be a first call market for our clients and differentiate ourselves through the leadership role we play, the expertise we bring and our partnership approach. This means that we provide lead market quotes and significant capacity, presents an experienced team focused on finding solutions to our clients risk challenges and clearly communicate our risk appetite and ensure consistent pricing and delivery of capacity across segments and product lines. Being a true partner to our clients requires a high level of coordination and planning across underwriting teams. We stand apart in our ability to do this. In 2024, our clients rewarded us through their support in retaining the combined RenaissanceRe and Validus underwriting portfolios. In doing so, we deepened our partnerships and grow our portfolio more than 30% into an attractive underwriting market. We also differentiated ourselves at the January 1, 2025 renewal and achieved our goals. We deployed property catastrophe capacity with key clients, maintained our strong leadership position in specialty and credit lines, deepened our conversations about casualty trend, and reduced on casualty programs if they did not meet our hurdles. We effectively communicated our risk appetite well in advance of renewal and followed through with a high level of consistency. In many cases, markets were oversubscribed, but we achieved our targeted signings across property, casualty and specialty. As a result, we were able to construct an underwriting portfolio that leads the market in expected profitability and offers shareholders attractive diversified earnings from our three drivers of profit. Providing a few comments on property specifically. As we expected at January 1, demand increased at the top end of programs, but we also saw competition for attractive placements. Overall, we experienced rate reductions of around 8%, with top layers down more and bottom layers down less, retentions held and terms and conditions were stable. We held our lines and grew on some targeted accounts, which should result in property cat gross written premium flat despite rate decreases. And a portfolio that is similarly attractive to those we have constructed over the last two years. As I mentioned earlier, we expect that the recent catastrophe events will increase growth opportunities across our property portfolio and a strong rate environment. We are in a preferential position to access this attractive business just like we did through 2024 and at the most recent renewal. Moving to casualty and specialty and starting with specialty where about three quarters of our portfolio renewed in January 1. We are an established lead market in specialty lines, having grown the book 58% year-over-year to $2.5 billion. The specialty market continues to enjoy favorable underlying conditions. While we saw increased competition at the January 1 renewal, we achieved favorable signings and held our lines with rates off marginally. We did choose to shrink in cyber where performance has been strong, but rates are declining. Now turning to credit, which similar to specialty remains attractive. We continue to have appetite for this business and achieved our target growth on some key programs at 1/1. Moving to casualty. At the January 1 renewal, we kept the majority of our portfolio, although we reduced lines on some treaties where exposure to loss inflation is greatest. Kevin spoke about the challenges in the U.S. general liability market. There is broad recognition that this business needs to improve to keep up with loss inflation. Insurers made good progress in the quarter by accelerating rate increases and improving their claims handling and defense against an aggressive plaintiffs bar. We are optimistic insurers will continue to improve in 2025, which should have a positive effect on the profitability of future underwriting years while also benefiting prior year claims. As we’ve discussed, casualty business needs to be managed over a 10 year cycle. While we aim to generate an underwriting profit every quarter in casualty and specialty, this quarter we reported a small loss. This was from our current accident year loss ratio and is within the range of potential volatility that we may experience. Our prior accident year loss ratio was stable this quarter. The acceleration in general liability trends have been offset by favorable trends in other lines of business such as professional liability, marine and energy, cyber and credit. Now I would like to take a moment to explain the value of a diversified underwriting portfolio and how it contributes to the overall profitability of the organization. Each of our financial segments have different risk and volatility profiles and contribute in distinct but equally important ways to our three drivers of profit. Property is more volatile and produces more underwriting profit in good years, it also generates substantial fee income from partner capital. Casualty and specialty, on the other hand, is less volatile, generating a smaller but more predictable underwriting result as well as some fee income from Montana. Its largest contribution in today’s market conditions, however, is to our investment income due to the considerable float it generates from our loss reserves. Diversification in loss reserves is equally important to diversification in the underwriting portfolio and critical to our portfolio management approach. Some risks are event based and manifest within the year. Some have longer duration and are only known once claims work through the court system. We consider this mix when we construct our inwards portfolio, manage the net mix with ceded reinsurance, and apply our reserving process to establish reserves that are resilient to adverse trends if they arise. Our portfolio management, diversification in reserves and robust reserving process has provided us with stability in casualty and specialty, allowing the segment to remain a substantial contributor to operating ROE on both a quarterly basis and especially over the course of a year. This diversification has also been beneficial when certain classes or underwriting years experienced increasing trends and needed more reserves like general liability in the soft market years 2014 to 2018. More recently, we increased our recent years in general liability to reflect accelerating loss trends. In other classes, we are seeing positive trends and favorable loss emergence such as the recent years in professional liability, cyber and credit. Even if current trends continue, however, we do not have an over concentration in any one line of business and I am comfortable with our casualty and specialty reserve position. We will certainly experience a movement up or down within different lines that this is the nature of the business and all part of managing a diversified underwriting book. And with that I’ll turn it back to Kevin.
Kevin O’Donnell: Thanks. So summing up our prepared comments, our performance in 2024, both financial and strategic, was outstanding. We delivered excellent profitability to our shareholders through each of our three drivers of profit. In addition, we completed our integration of Validus and retained the combined portfolio. Overall, reinsurance rates remain attractive. Our fee generating business remains healthy and our investment returns remain elevated. As a result, we expect to continue delivering outstanding shareholder value over the course of 2025. And with that, I’ll open it up for questions. Thanks.
Operator: Thank you. [Operator Instructions] Our first question will come from Elyse Greenspan with Wells Fargo. Your line is now open.
Elyse Greenspan: Hi. Thanks. Good morning. My first question is on casualty specialty. The combined ratio, adjusted combined ratio rate trended higher and over 100% in the fourth quarter. So I just want to spend more time on why that doesn’t change your forward outlook for the business. If I remember last quarter, you said you guys were taking action based on discussions with clients and you had up the guide to the mid- to high 90s. So I just want to more understand whether weaker Q4 and GL does it make you want to be more conservative with the booking of specialty casualty going forward?
Kevin O’Donnell: Yes. Thanks, Elyse. So if we look at the quarter, our loss ratio for the year range between 65% and 69%. Ultimately, we had a profitable year in casualty specialty, and we had favorable development. I think your question really is focused on the GL line, which is where most of the attention has been coming lately. If we look at what we’ve done on the GL side, so we’ve been using a trend of about 10% to 12% for some period of time. So we feel pretty comfortable with that. And it’s in thinking about the way in which we bring business onto the platform. So thinking about where the reserves are really requires us to go back to think about the underwriting as well. From an underwriting perspective, within GL, said we are targeting what we believe to be the best accounts within the sublines within GL, we’re trying to avoid the lines where we have seen or where the market has seen the biggest problematic. So we’ve been underweight in auto, and we reduced our cash – sorry, our excess casualty portfolio several years ago. So when I think about where the portfolio is, the balance of risk that we’re assuming, the construction of the portfolio and the underwriting discipline we’ve had in the combination of risk within the casualty portfolio, I feel good about the guidance that we have, and I’m proud of the way in which we’ve managed the portfolio and comfortable with the reserves. Dave, you can...
David Marra: Yes. I can just add to that. I mean everything we’re seeing on the underwriting side adds comfort to where we are with the portfolio decisions we’ve made and the way we’ve reserved each class. At 1/1, we did engage with customers, and we got a lot more information on what they’re seeing, how they’re managing their claims and very optimistic that rates are improving, that will lead to improvements, but that will take time, and we’ll wait for the business to season for that to come through before we reflect that in what we’re booking. But the rate they’re getting and then the way that they’re managing claims is definitely a differentiator, which will lead to improvements in the future.
Elyse Greenspan: Thanks. And then my follow-up is on property cat. You guys, David, right, you said 75% of your U.S. property cat book renews over the next six months and most is loss impacted. So with the fires, right, I thought, right, some of this is nationwide, right? Some might be more specific, right, to Florida company is. But does most of your, I guess, California business where you’re going to be impacted renew during 2025? Or would it be 1/1 2026 renewal? I’m just trying to get a sense of do you think this will impact pricing during renewals in 2025, 1/1 2026, is it a combination of both?
David Marra: Yes. Hi, Elyse, this is David. The California specifics that – this event is large enough to impact some nationwide and the California specifics. The second quarter renewals is a mix of Florida, nationwide and California specifics. That’s all embedded in the numbers we gave, only a relatively small portion of the pure U.S. exposed accounts renew at 1/1. So most of those are to come in the second quarter and will be loss impacted. And so we do expect the rate that we saw, the competition that we saw at 1/1 that drove rates down, still trading around a high level. We think that will reverse, and we’ll see better opportunities going into the second quarter renewals.
Elyse Greenspan: Thank you.
Operator: Thank you. Our next question will come from Josh Shanker with Bank of America. Your line is open.
Josh Shanker: Yes. Thank you. I guess there will be a lot of casualty questions on this call. Obviously, you know that one of your competitors took a large charge that they preannounced the charge a couple of days ago. And when investors are looking at this higher loss pick in cash, they’re immediately suspicious because it’s in target. You said in your previous remarks that it’s going to be volatile. There will be large losses as there were this quarter that move it around. And I know you don’t want to get in the habit of talking about individual losses on every call. But given that it is so at attention right now, is there any detail that you can give about the unique losses in the quarter that might help investors to understand the run rate versus what is the volatility?
David Marra: Hi, this is David. I’ll start with that. The way we think about it, what we’re seeing in some of that – of the movement between classes are really outcomes of the business we are in and the process that we run. First, we construct the portfolio to create the best expected return. And most of our customers buy across different classes across the segments and within the segments. We have several different reserving classes. When we run our reserving process, we’ll set initial picks, we’ll monitor how things emerge and adjust to the news that comes in. We’ve talked about – we take bad news, quicker than good news. That’s all going on in the normal course of business. We don’t book where our clients book. So just what we see in the market doesn’t necessarily mean that we’re going to see that as well. The movements that we’re seeing are the outcomes of that process and nothing we’re seeing on the underwriting side or out in the public domain gives us any more concern about where we are and that the outcome of that process are a good representation of the book.
Kevin O’Donnell: I think, Josh, 1/1, I agree with everything that Dave said. I think the question you’re asking is what is signal and what is noise? There was some noise in the quarter with due to airlines and things that came through the casualty specialty, but they’re relatively small. I think when we think about what signal are we giving you from the market. What we said is, we’re already and have been using a 10% to 12% depending on the subclass within GL as our trend. We’re seeing rates at 15%. So we’re seeing it dialogue and the market response be above the trend. We’ve historically said, we think about the casualty market over 10 years. So if you think about the fact that the casualty market is in a period of challenge, but rates are above trend, one should expect that as long as the rate that the primary companies are getting continues above trend, the market should continue to improve. So as we think about managing the portfolio, one of the things we’re highly focused on is making sure clients are applying the better claim management that they that we discussed with them and talked to you about last year, that affects both current year and prior year. We’re seeing that and that the rate enhancement that they’re getting on the primary book continues to flow through. So the signal that we’re sending is trend is up, rate is up and rate is above trend, which is a positive sign for where the market is.
Josh Shanker: Well, thank you for that. And I think everybody at all three of you have sort of set out your comfort with the position of the reserve portfolio there. In the quarter, the reserve releases were in bivalent in casualty and specialty, and they were slightly favorable in the year overall. I’m just curious, we’ve seen other competitors and other companies release a bunch of specialty reserves that are shorter tail and fortify the longer tail years. And when it comes to us on a GAAP basis or reported basis, it looks like it’s negligible, but there are big movements. In terms of – have you been fortifying the cash fee reserves, we’ll see it, obviously, I think when we look at the K and it gets filed, but has there been fortification of the longer-tailed reserves offset by reserve releases on a shorter tail lines? Or has really the book as a whole, been proceeding as you guys a reserve for to you year ago?
Kevin O’Donnell: Yes. It’s a good question, and it is something the Schedule Ps [ph] will provide transparency for and have provided a transparent support. So obviously, we’re remaining a Reinsurance platform, but we reported in segments. With that, there’s a lot of transparency that we provide. The answer to your question, just to be clear, is yes. We’ve had favorable development in many of the shorter tail cat specialty lines, and we’ve added to the casualty. That is not to say that we’re moving one reserve to the other. We have 50 or 60 reserving classes within casualty specialty. One of the ways in which you manage a portfolio like that is you need to get the right balance of short tail, long tail risks and the right diversification of the types of exposure that are coming in. At any given time, one class is having favorable development, in other class may be having either in a quarter or on a trend, some adverse development. From a casualty perspective, we have added to that. We feel like that’s been the right decision from a specialty and from a property, which is a different segment, we’ve had favorable development. But overall, we’re looking at our job is to think about the overall reserve pool and the overall reserve pool is in a place where we feel abundantly comfortable, and we’re seeing in the promos problem class, which is GL, we’re seeing a lot of things to feel optimistic about. Dave?
David Marra: Yes, just to reiterate, as I said in my prepared remarks, we’re seeing favorable trends even within the Casualty and Specialty segment from most other classes of business. So professional liability, which is more medium tail. Cyber, which is kind of medium tail and the shorter tail lines of specialty and credit. So all that is consistent with what Kevin was describing.
Josh Shanker: Thank you very much.
Operator: Thank you. Our next question will come from Mike Zaremski with BMO. Your line is now open.
Mike Zaremski: Hey good morning. I want to go back to casualty, specialty, sorry to belabor this, but the stock is moving on it. So, I feel like some of the things you’re saying are a bit counterintuitive. I’m not saying they’re wrong and explaining it, just saying maybe different from what other companies do. So to un pack yet. So you’re saying the loss trend environment is at 10% to 12% [ph] and pricing improving and claims handling is improving, but you’re also – you’ve been picking it at a worse loss pick. And I think you’re also saying unlike others, you’re not taking reserve charges, you’re just changing a rostic higher on a prospective basis. So I hope it makes sense, but why would you not be taking some charges or adding reserves to that class? And why prospectively, are you saying margins are going to be worse if things are turning for the better?
Kevin O’Donnell: Yes. Sorry that we’re presenting this in a confusing way because we don’t feel confused and we feel quite confident. When I think about what the question that you’re asking is, you’re basically asking, why did we put up the current year. And I think that is in recognition of what I said is, we need to have rates continue. So thinking about the current year, there is uncertainty. So we’re adding a buffer of concern to the loss ratio because we need to make sure that the affirmative behavior we’re seeing today persists. So I think there’s an extrapolation that’s going on that – because of that, we think the world is worse. We just think that there is volatility on uncertainty, and we want to reflect that at the starting point of our underwriting. Ultimately, if the markets continue to exhibit the behavior that we’ll have, that will come back to prior year favorable. But right now, we think it’s prudent to be disciplined in recognizing the uncertainty in the market and recognizing the need that the current behavior needs to continue for us to feel comfortable that we’re getting the large in that, we’re observing if we only look at a snapshot for today.
Mike Zaremski: Okay. Okay. That helps, Kevin. Switching gears to property. And you might have touched on some of this in the prepared remarks, but margins are excellent. And specifically, prior year development, I’m guessing this is probably one of the biggest ones in a long time, but for the year as well. Consensus typically, I’m guilty this as well. We typically see the big releases, and we kind of fade releases on a forward basis very materially. So Ren and others don’t get the benefit if this is a trend. So I don’t know if you wanted to add any color with the releases the last couple of quarters this quarter just very unique? Or any color would be helpful. Thank you.
Bob Qutub: Let me try and start that off giving you kind of context on our process. As these events occur, we have information, which will give us on total insured values. We have models that reflect what the impact on that would be based on given events, whether it’s wind, flood, fire or anything else in that matter, our models will reflect some outcome. We also have information from our seeds [ph] and active conversations that go on. So what it reflect is our best estimate. And our best estimates also reflect degrees of uncertainty. But over time, the degrees of uncertainty or our best estimates get better. So what you see unfolding is a process on how we think about approaching our large cat events and the reserving process. We look at these each quarter and annually as we go through it. And so what you see is a refinement. There is some adverse mix in there, but there’s a lot more, obviously, that you can see as an outcome as it being positive.
Mike Zaremski: And just as a quick follow-up on that then. So I guess our take is that Ren historically has been very conservative on its booking. Has that margin of conservatism. Is that widened out? Like for example, when we see you are using a $50 billion loss at sort of the California wildfires and other sources are being kind of closer to $30 billion. Just so we’re kind of assuming your Ren [ph] just being naturally conservative, but is there a greater degree you’re saying of conservatism you’ve been seeing recently versus historical?
Kevin O’Donnell: Yes. So let me answer that in a macro way and then specifically on the wildfire. So on a macro perspective, nothing has changed. We have a good process. It’s a ground-up process. We go through account by account, look at what we believe the exposure is. We talk to clients. We get their loss information. We make an assessment, check it against the model and come up with our assessment. This – the reason we’re reporting this loss as a market share is because the fires are largely under control, but this is a very recent event. There’s been limited access to the most affected [indiscernible]. I think it just lifted up earlier this week, but they’re increasing a little bit of the access for more specific settlement. We do have primary company information. With that, though we do believe that this specific loss is a loss in which we have tolerance for greater variability because of the lack of access that has occurred so far. We think $50 billion is a reasonable estimate with the information that has been given to us to date. And with the modeling that we have done. We wanted to provide a tool for you to make an assessment, should the market begin to see the losses smaller or larger that as we sensitivity tested this. So we didn’t go in with a market share. We did a bottom-up analysis. But as we sensitivity tested it is if it’s slid up a little bit or slid down a little bit, we stayed at about 1.5%. So the answer to your question is nothing has changed. But there is a greater probability of variability from this $50 billion than what we would normally produce because of the recency of the event, the limited access and the complications of it being in California.
Mike Zaremski: Very helpful.
Operator: Our next question will come from the line of Meyer Shields at KBW. Please go ahead.
Meyer Shields: Great, thanks. Just a couple of very quick questions. First, I guess this is a question for Kevin, how far back, like you acknowledged that some of the general liability older accident years reserves needed some strengthening. How far back does that go?
Kevin O’Donnell: I would say let’s divide it into the way that the market has traditionally thought about it. There’s kind of the soft market years, which were probably 2014 to 2018, 2019, something like that. For us, our portfolio is relatively small. And then with the transactions that we did, we had substantial protections for the soft market years within the portfolios that we acquired. So going from 2019 forward, I would say, that’s where our focus has been with when I’m talking about the 10% to 12% and where we’ve added to the reserves, 2023 is probably too green to talk about. So if you were getting more specific, it’s probably 2019, 2020, 2021, 2022, something like that.
Meyer Shields: Okay. Perfect. That’s what I was hoping to hear. And just on the 1/1 renewals, I was hoping you could comment on rate changes for loss impacted accounts and RenRe’s appetite writing aggregate covers.
David Marra: Yes. Hi, Meyer, this is David. So at 1/1, we talked about, there was some increased competition, which led to rates going down. Think I would point out that earlier in the process, of the renewal process, rates were more flat. But as supply got pushed into the market, rates started to come under more pressure. So there wasn’t much differentiation of loss-impacted accounts because they are far fewer of the 1/1s were loss impacted. If you think about the nature of the events that were losses at that time, it was Helene and Milton, which impacted a lot of the Florida domestics. Many of those are 6/1 accounts in second quarter. So that wasn’t as much the differentiation. They are aggregate covers used to be placed in much more scale pre the step change. Post the step change, there are a couple out there, but they all attach at remote attachment points. So they don’t provide the volatility that would have been the case pre the step change. So there are a handful of those out there. We do work them as long as we think we’re getting the right return on capital for those and that they attach at the right level.
Kevin O’Donnell: And many of them have been aggregates for a long time. They’re large company structured aggregates. They’re not the same aggregates that were the problems at back in four years ago.
Meyer Shields: Okay. Just to follow up on that, if I can. How worried should we be given that in early January, we got a $50 billion loss?
David Marra: So that’s something we look at when we think about our risk appetite into wind season, and we’ll structure the portfolio with that in mind. It’s not something that concerns us because we have good transparency into that, and we’ll figure out how to stretch the portfolio with that in mind.
Kevin O’Donnell: It actually can be – it may – is one of the things that’s going to we talked about is the supply-demand dynamics. If those losses – those contracts are more loss controlled, we’ll have great transparency, and we’re in a very strong capital position. We’re able to move into the market with confidence that it would potentially reduce the supply for others going into wind season, which will create more opportunities for us.
Meyer Shields: Okay. Fantastic. Thank you so much.
Kevin O’Donnell: Yes. Thanks.
Operator: Brian Meredith with UBS. You have our next question.
Brian Meredith: Yes. Thanks. Just to follow up my question there, just maybe understand this. Do you think that the loss is going to have an impact on, call it, non-California exposed programs like Florida and stuff from a renewal perspective?
Kevin O’Donnell: Florida is going to go up because of Milton.
Brian Meredith: Okay.
Kevin O’Donnell: So we’re a smaller player there, but the degree of optimism for Florida. I think we’re saying that there is a reversal of the reduction, so we’re looking at flat right now. Part of it is we’ve got the first quarter where we’re going to be talking to clients and understanding what their capacity needs are. Are they buying backups, do they need more top-end cover. And none of this really comes up to the second quarter. So what we’re looking at is we’ve got an opportunity to learn a lot more about how rates are going to change. But we’re going in from a strong rating environment with capacity to bring to clients that have suffered losses and will solve their problems, but we’re going to solve the level of margin that we require to put our capacity up.
Brian Meredith: Got you. Makes sense. And then second, I’m just curious, with all the demand that’s probably going to come through for backup covers and stuff but obviously a pretty meaningful loss, I’m assuming to your JVs also. Do you need to go out and kind of raise more capital there? Maybe you can explain to us again how that all works in like a DaVinci or some of your other ones?
Kevin O’Donnell: Yes. They’re all well capitalized, as you know, other than Upsilon, most of our vehicles are rated, so top layer is not impacted. Vermeer is in a very strong capital position. We’re already talking to them about our deployment into the year. DaVinci would have had a dividend come back. We may have redeployed the dividend back into the balance sheet, but there’s no capital issue with DaVinci. Upsilon is probably largely unaffected because the – much of the retro didn’t have wildfire coverage. Medici is largely in good place. Fontana is doing fine because it’s obviously not protecting the property portfolio. So when I look across it, if you go back the challenges that others have had in the ILS market, we really never suffered from. We’ve had good access. And right now, we’re in a strong capital position and the way the deals are structured, we should be in pretty good shape going through 2025.
Brian Meredith: Terrific. Thank you.
Kevin O’Donnell: Sure.
Operator: Our next question today will come from David Motemaden at Evercore ISI. Please go ahead.
David Motemaden: Hey. Thanks for squeezing me in.
Kevin O’Donnell: Sure.
David Motemaden: I’ll just leave it at one question just on Casualty and Specialty. So it sounds like you guys have started to recognize some adverse reserve development on the recent accident years in general casualty, which I believe is new. So I just was hoping you could confirm that because I think last quarter, you had expressed some confidence in not moving off your development curves on accident years 2020 through 2022. And I think you guys had dropped your picks and accident year 2021. So I’m just wondering like what happened this quarter that resulted in you starting to recognize adverse on the more recent years. And how we should think about the potential or how confident you guys are in that you’ve sort of closed the book on that?
Bob Qutub: Let me try. Thanks for the question. Let me try and unpack that and clarify actually say what we said about the current accident year. That’s the current accident year has had some volatility and noise that Kevin talked about if you look back, and I think it was commented here earlier about our Schedule P from last year and what you’re going to see to put out there, you’re going to see trade-offs between the general liability has increased in those years that we’ve mentioned, but you can see offsets that are coming from the shorter tail. So this is all being reflected down in the prior year, not in the current year. And that’s the focus that we’ve been seeing. So that’s not something that’s happened this quarter. This goes on with 50 or 60 different classes of business, you’re going to see puts and takes across it. And that’s the balance of a diversified portfolio that David was talking about.
David Motemaden: Okay. Got it. I guess I’ll look for the K to come out. I was just looking, I see adverse on 2019 and prior and then releases on 2020 through 2022, at least in the K last year, but I guess that’s total casualty and specialty. So that does not break out specifically general casualty. So any sort of detail you guys could provide on that? That would be helpful.
David Marra: What we’re talking to is what you’re going to see in the Schedule Ps that are coming out, which will break up the occurrence in claims-based reserves that we have out there, which you’ll see the puts and takes in that on our U.S. balance sheet that we have.
David Motemaden: Got it. I’ll be looking for that. Thank you.
Operator: Alex Scott at Barclays. Please go ahead with your question.
Alex Scott: Hey, thanks for fitting me in. First one I had is just to see if you could put a little more color around the estimated California wildfire loss. And in particular, it’s always tricky from the outside trying to understand the way that the gross loss comes in and how it affects the business you’re retaining versus what’s in the vehicles and sort of moves out to the NCI. If you could help us think through what the – how it translates to expected total loss and what we should expect to see in the actual P&L and so forth?
Bob Qutub: Yes, I mean let me give you kind of a mechanical view that it starts with our industry loss that we look at, but that’s based on what I said earlier on the insured values that we understand. So, it comes down to a gross loss number that we would reflect now we have ceded, so we’ll reduce that by the ceded. And that will come out of it. We’ll adjust it for reinstatement premiums and other costs that would go into it. So that’s where you would see, it follow through on a managed basis for our current accident year loss. And you’ll see that reconciliation, not necessarily from the gross, but from the net of what gross loss minus ceded then you’ll see the reinstatement premiums. Then what we do is, we get down to the NCI impact, we’ll take out DaVinci share, which they have a piece that goes into that based on their underwriting and what we share with them, and that’s about 50% on that piece of it and then it goes down to the third party. It nets down in a series of steps that ultimately is the ceded that comes out of the underwriting managed, ultimately also within the net NCI that comes out that we show in our supplemental. That’s a very mechanical, happy to take you through that offline. You can kind of see that when you look at our net negative table that we put out in the release, and you’ll see that in our K.
Alex Scott: Got it. Okay. That’s helpful. And the follow-up question I had is just on the comfort and performance of like the Tokio Millennium piece of the reserve specifically a bit more developed at this point. So, interested in if that’s still showing any kind of movement? And if you could provide any – I can’t recall where the Tokio ADC is. So, if you could update us on that.
Bob Qutub: Yes. We haven’t really talked specifically. We have capacity on it, but we’re 5.5 years into that. So, a lot of that is largely developed. There’s still some left to develop. But we’re still comfortable where we are with that contract. And we still have some small room left on it.
Kevin O’Donnell: And the good news is that book is largely developed at this point. So we have room contracts still in force. We have a great relationship with Tokio.
Alex Scott: Thank you.
Operator: And that was our final question for our session this morning. I’m happy to turn the floor back to Mr. O’Donnell for any additional or closing remarks that you have, sir.
Kevin O’Donnell: So, thank you for joining today’s call. Yes. Obviously, we are proud of the performance that we had last year. We appreciate your questions on the wildfire, there’s uncertainty with that event. We think we’ve done our best work to come up with a way to parameterize the loss and understand it. And from the casualty and specialty portfolio, it’s a difficult time in the market. I recognize there’s a lot of signals that are being absorbed from investors, from others. From an underearning perspective, we’ve done the right things in structuring the portfolio. And from a reserving perspective, I said we have a very practical lens on this. We’ve had good transparency on the trend. We’ve used a good development factor on the portfolio, and we feel comfortable with where we are. With that, we’d like to thank you for being on today’s call. And we look forward to talking to you after the close of the first quarter.
Operator: Ladies and gentlemen, this does conclude today’s teleconference, and we thank you all for your participation. You may now disconnect your lines.